Operator: Welcome to the First Quarter 2020 ViewRay Incorporated. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would like to hand the conference over to Michaella Gallina.
Michaella Gallina: Thank you, operator. Good afternoon, everyone, and welcome to ViewRay’s first quarter 2020 financial results conference call. Joining me today is Scott Drake, our President and Chief Executive Officer. Earlier today, ViewRay issued a press release on our call that can be found on the Investor Relations portion of our website at www.investors.viewray.com. Today’s call is being broadcast and webcast live, and a replay will be available on our website for 14 days. Before we begin, I would like to caution listeners that comments made by management during this call may include forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties, and actual results could differ from those projected in any forward-looking statement due to numerous factors. For a description of these risks and uncertainties, please see ViewRay’s Annual Report on Form 10-K for the fiscal year ended December 31, 2019, and its quarterly reports on Form 10-Q as updated periodically with the company’s other SEC filings. Furthermore, the content of this conference call contains time-sensitive information accurate only as of today, April 30, 2020. ViewRay undertakes no obligation to revise or otherwise update any statements to reflect events or circumstances after the date of this call. I will now turn it over to Scott.
Scott Drake: Thank you, Michaella. Good afternoon, everyone, and thanks for joining our call. Today, we’ll discuss the ongoing impact of coronavirus and provide an update to our previously given 2020 guidance. We’ll share highlights from Q1 results and provide commentary on our capital preservation plans. We’ll give insights into MRIdian’s utility during this pandemic, provide an update on our clinical, innovation and economic pipelines, and announce recent Board and management appointments including our new Chief Financial Officer. We’ll then review our full financials and look forward to answering your questions. We are in the midst of an unprecedented and uncertain time as COVID-19 impacts virtually every facet of life. First and foremost, we owe a debt of gratitude to our clinical partners and frontline workers fighting this pandemic. During these difficult times, our top priority at ViewRay is the health and safety of our team, customers and patients. We are focused on enabling our customers to continue to deliver MRIdian treatments in the face of the crisis at hand. As a company, we’re also taking responsible action to stop the virus from overwhelming our healthcare system by following CDC guidelines and government regulations, including travel restrictions and working remotely, whatever possible. I’ve been inspired by the ways that our team, customers and communities have come together across the world to improve the lives of patients now more than ever. When we last spoke to you in early March, we shared that we were actively monitoring in scenario planning for the COVID situation. As the pandemic unfolded, we acted swiftly and thoughtfully. However, given the existing uncertainty, we feel that it is prudent to withdraw our 2020 guidance issued on our March earnings call as the full impact of coronavirus remains unknown. Let me use installations as an example of the uncertainty. Our team is making Herculean efforts to continue to install systems wherever possible. We recently had a team endure 14-day quarantine at an Asian site to safely enter a hospital to begin work. Here in the U.S., we just had a team completed installation in an urban hotspot. Despite the obvious challenges, this was one of our fastest installations ever. In several instances, our customers are moving forward with vault preparation and installation activities, but given the nature of travel restrictions and changing priorities that our customers face, there is a risk to the completion date of each active program. We currently have five installations in process of which three have been delayed due to COVID-19. Our pipeline includes other projects in various stages of vault preparation and several are currently impacted. We expect these installations to be successfully completed, but under current circumstances it is difficult to predict when. Turning into our Q1 results, we recognized approximately $14 million in revenue, primarily from two installations in one upgrade. We received four MRIdian orders highlighted by a world renowned treatment, training and research center in the Midwest. Closing four deals, it is a credit to our team despite circumstances inhibiting our ability to fully engage with customers. While we have pivoted to virtual site visits for potential customers and are driving the pipeline forward every way we can. Hospital decision makers are rightly focused on COVID-19 efforts. We anticipate that major capital decisions will be impacted for some time and this is one of the key assumptions underlying our scenario planning. Thus far in Q2, we have completed one installation that was recognized as revenue in a prior quarter and we have yet to receive any orders. On the cash front, we ended Q1 with approximately $190 million on hand. In the quarter, we used approximately $36 million in line with our projections. About $14 million was seasonal Q1 spend that we will not see in the remainder of the year and none of the cash savings initiatives that we’ve recently implemented were in place during the quarter. As we shared before, we are striving to still achieve our goal of not going back to the equity markets in 2020 or 2021, and our aspirational goal is to save the same for 2022. Our ability to achieve these goals is dependent upon how the current situation evolves. We are in a highly dynamic environment and in order to keep these goals in reach, we recently enacted a $30 million cash savings plan for 2020, which includes approximately $20 million of operating expense savings and the balance and working capital. These plans prioritize our innovation and clinical pipelines and are partly the result of a shared sacrifice from our team. We stair step salary reductions throughout the organization including our Board of Directors and furloughed about 8% of our team.
and abdomen: From a patient care perspective, we are working diligently to enable delivery of MRIdian’s treatments for our customers and patients. Our mission is to treat, improve what others can’t. We can safely deliver high dose SBRT, which evidence has shown is 75 to 100 Gray biological effective dose or BED10. We have demonstrated our ability to produce low toxicity with high doses across cancer sites, including the most difficult to treat cancers such as pancreas, ligaments, liver and central lung. We currently have 37 systems in the market and utilization trends during this pandemic have further displayed meridians value. Some customers have shared an uptick in SBRT, as fewer treatments result in less exposure for both patients and hospital staff. Further, customers have diverted surgery patients to MRIdian for the same preventative measures and to open up needed hospital beds. Dr. James Good at GenesisCare Oxford stated “the best in class MRIdian solution from ViewRay combines MRI and radiation technologies allowing us to see the target and shape the treatment accordingly. At GenesisCare, we have treated people with a wide variety of cancer concerns from localized prostate cancer to inoperable pancreatic cancer, complex lung cancers and multiple liver secondary tumors. This pandemic will come to an end, but at GenesisCare safer or SBRT on the MRIdian platform is just getting started and quo. In the heartbeat of the virus battle Dr Naga of New York Presbyterian brought his experience to life saying quo. During this COVID-19 crisis, we are seeing additional significant benefit to treating prostate cancer patients with SBRT on MRIdian. By leveraging MR guided radiation therapy, we’re able to reduce the number of patient interactions eightfold compared to traditional therapy, which further minimizes exposure risks for patients and hospital staff. We also eliminate the need for additional procedures like fiducial placement, which put unnecessary strain on hospital resources and equipment and quo. While some sites are increasing utilization of MRIdian, other customers are delaying radiation oncology treatments and prioritizing the need to treat COVID patients. Our customers are being responsive to their respective situations and we’re supporting them in every way we can. As we shared earlier, our action plans prioritize our innovation and clinical pipelines and we’re working diligently to advance these work streams. On the clinical front, we are continuing to enroll patients in our Phase 2 smart trial for pancreatic cancer. Efforts regarding our clinical research and policy collaborations are ongoing, yes, it’s slowed at this time. Because of the postponement of conferences and meetings, there’s less new data being presented, but clinical work is still moving forward. On the innovation front, our team is continuing to deploy our most recent upgrade to customers in the field. We had one physician publicly share that the new high speed MLC has taken radiation delivery times down by 20% to 30%. He was also pleased with how much greater the image quality was at eight versus four frames per second. We look forward to rolling out this innovation more broadly moving forward. Lastly, I’d like to share recent changes made to our board and management team. Last week, we announced that Chris Johnson joined our board of directors. She is currently President and General Manager of Affinity Capital Management and serves on the board of directors for AtriCure and ClearPoint Neuro Incorporated. She was previously board chair at Spectranetics and lead director at Piper Jaffray. Chris held several leadership roles at Medtronic over the course of 17 years, serving most recently a Senior Vice President and Chief Administrative Officer. It’s notable that Chris was the first female general manager ever at Medtronic. We’re proud to welcome her to our team. Concurrently. Our founder, Jim Dempsey, stepped down from the board. We are happy to free him up so he can focus on his critical role of Chief Scientific Officer. On behalf of our entire board, I can thank him enough for all he’s done and continues to do. We’re looking forward to driving our innovation pipeline and Jim is essential to this work in a deeply valued business partner to me. Regarding our management team, we’re pleased to announce that our search for a Chief Financial Officer has concluded. I’d like to thank our interim CFO, Brian Knaley for his hard work to drive the business forward and lead our financial organization over the last several quarters. Our new CFO, Zach Stassen was selected after a rigorous search. Zach was most recently the CFO and COO at Bolder Surgical, an innovative privately held MedTech company. Prior to Bolder Surgical, Zach work with me at Spectranetics, where he held various roles including Vice President of Finance. Earlier, he co-founded a device company that was acquired by Cardinal Health. Zach also has experienced as a healthcare investment banker at Piper Jaffray. His start date will be May 18. In summary, we’re hoping that things improve quickly, but preparing for a prolonged economic downturn. We’re executing and focusing on what we can control and creating value in a challenging environment. Value creation lives, and driving our clinical pipeline forward, simplifying workflow, shortening treatment times, taking costs out of our system, making current MRIdian programs even more effective, both clinically and economically and moving our commercial pipeline forward, albeit at a likely slower rate for a period of time. We intend to exit this global crisis, better position to change and improve the paradigm of care for cancer patients around the world. And with that, we will now review our Q1 financials in more detail. Michaella?
Michaella Gallina: Thank you, Scott. For the fiscal quarter ended March 31, 2020, total revenue was $14.3 million, primarily from three revenue units, including one system upgrades as compared to $20.3 million, primarily from four revenue units, including one system upgrade in the same period last year. Total cost of revenue was $16.4 million compared to $25.6 million in the same period last year. Total cost of revenue in the first quarter of 2019 was impacted by approximately $7 million of charges, primarily from higher than anticipated installation costs related to historical upgrade commitment. Total gross profit was a loss of $2.1 million compared to a profit of $5.4 million over the same period last year. The decrease is attributable to $5.6 million of onetime installation costs related to historical upgrade commitments in the first quarter of 2019 and the cost of revenue on one fewer MRIdian system in the first quarter of 2020. Total operating expenses were approximately $28 million as compared to $25 million for the same period last year. The increase in operating expenses predated the implementation of the cash savings program we previously discussed. Finally, net loss for the quarter was $27.5 million or $0.19 per share compared to $33.4 million or $0.34 per share for the same period last year. Turning now to orders and backlog. In the first quarter of 2020, we received four new orders for MRIdian systems totaling approximately $22.6 million compared to seven new orders totaling approximately $43 million in the same period last year. As of March 31, 2020, our backlog stood at approximately $231 million as compared to approximately $238 million as of March 31, 2019. One system was removed from the backlog in Q1. Regarding cash, we used approximately $36 million in the first quarter. As we shared about $14 million with seasonal first quarter spend that will not recur in the remainder of the year and our cash savings program was not yet enacted. As previously stated, we are withdrawing our 2020 guidance issued on March 12, 2020 as we full impact of coronavirus remains unknown. We will now open up the line for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Jason Bednar with PSC. Please go ahead, Jason.
Jason Bednar: Hey, Scott and team, hope you’re all doing well, and thanks for taking the questions here. Just to start, I’m curious maybe from your vantage point and probably more of your opinion, I mean, where do you think radiotherapy investments shake out on the other side of the pandemic? Do you think that need investments are relatively more protected than some of the other lower ROI items and budgets? And then I’ll have one follow-up after that.
Scott Drake: Yes. Jason, thank you, and I hope you and your family are well also. I think it’s very difficult to speak with clarity in terms of where things are going here in the next 12 months to 36 months. It is our operating assumption that we’re going to be, our customers are going to be in a capital constrained environment for some period of time. We’re obviously hoping for the best, but planning for a prolonged contraction here. So I think it’s difficult to tell on the other side what ultimately will happen. What is clear during the pandemic is the importance of cancer treatment. And it varies from site to site, but we’ve seen the utility of the MRIdian system on pretty extraordinary display. We’ve had customers share with us that they’re moving even more rapidly toward high dose SBRT. We have seen patients be diverted from surgery to single fraction treatment on MRIdian for cancers such as long in pancreas. And we’re just inspired by the way our customers are utilizing the system. But I would say the most difficult thing for us to project at this time is, what kind of capital environment will be present the next 12, 24, 36 months. Very difficult to see right now, Jason, from our perspective.
Jason Bednar: Yes, totally understand. Thanks for that. Maybe as a follow-up on the $30 million in cash savings, you mentioned that I’m curious how you’d characterize that as maybe semi-permanent items versus items that may come back into the model later this year or next if things with the economy in the healthcare system normalized near-term. And then is that $30 million in annualized figure? Is that a figure you’d expect to save here over the remainder of 2020?
Scott Drake: Yes, yes. Great question. So it is a figure that, that we intend to save here in 2020. So as you can see, we’ve pulled the lever relatively hard that we only have roughly three quarters to achieve that level of savings. And I think the best way that I can characterize that beyond what we said in our prepared remarks and that was approximately $20 million of the $30 million is in OpEx and the balance in working capital savings. I would say that we are prioritizing our clinical pipeline, which we’re incredibly excited about. Our innovation and product pipeline, those are the areas and I would say along with the clinical pipeline, the things that we can do with healthcare, economics and reimbursement to compliment that, those things obviously go hand in hand. So those are the things that we are prioritizing beyond all else. And we think we can create value in that, kind of hard to see period of time by driving the clinical pipeline, the product pipeline, the reimbursement pipeline. We think there’s a lot that we can do. And that’s what we’re focused on. To your point, if things improve, and we see our order book and installations really moving along then we very much would go back to operating as normal, but – and lesson until we see that clearly, we think it’s important for investors to understand that we’re really focused on that capital preservation plan and concurrently driving shareholder value in the ways that I mentioned.
Jason Bednar: Great, makes sense, and thanks and good luck out there.
Scott Drake: Thank you so much.
Operator: Thank you. Our next question is from Anthony Petrone with Jefferies. Please go ahead, Anthony.
Anthony Petrone: Hi, and good afternoon, everyone. Hope everyone is doing well, and everyone’s family safe, healthy. A couple of questions, I guess as it relates to any near-term installation cycles in 2Q specifically in most of the companies we’re speaking to in this quarter. We’re looking for so-called trough in the second quarter and then a gradual recovery into the back half of the year. And so just in thinking of your business, how you’re looking at potential installations in 2Q and as far as your crystal ball can go? I mean how do you think it plays out for the rest of the year? And then on the follow-up.
Scott Drake: Yes. Anthony, thank you, and let me reciprocate. I hope you and your family are safe and well also. Why don’t I touch on your question from a macro standpoint and invite Shar to also weigh in here. So we have a pretty sizable number of projects that are operational right now from a vault preparation and installation standpoint. And there’s some starts and stops Anthony, but no indication at all that any of those installations or vault preparation work are stopping on a permanent basis. In other words, everything is moving forward, but potentially in some instances where we’re having difficulty get into a country, it may take us a little bit longer than normal to get that installation fully completed. So everything is moving forward. But a little bit of different pacing here in this interim period of time where we’re having challenges entering into certain countries to do installation work. I would highlight the incredible work that our team has done in during quarantines and in various areas to get installations completed and also our field service team just doing extraordinary work to keep MRIdian treatments going. So with that kind of macro backdrop Shar, do you want to help us hone in a little bit more narrowly on Anthony’s question.
Shar Matin: Sure, I’d happy to. I think to what Scott has stated, I think there’s delays both involve prep as well as installations, mainly just because of the supply chain or getting access both to the hospital or to the country has been challenging. Overall, we’ve been working on scenarios or finding alternatives in many cases. Otherwise, I think the sense we’re getting right now is especially, I’d say, for the Asian installations that things look like they might be opening up a bit or will be opening up in the summertime, as long as that kind of holds true, then I think more of our installations will be – will essentially try to catch up in the second half of the year. But again, that all depends on what countries do, how it goes here in the U.S. or in Europe, where our teams are mostly located and will they have access to the various countries that we’re trying to get into.
Anthony Petrone: That’s helpful. And then the follow-up would be Scott, you mentioned hospital capital budgets. And I’m just wondering in your most recent conversations as you’re out there speaking to customers, both existing and new potential customers, just your sense on where capital budgets will trend, certainly, obviously there’s a downward trajectory currently. But in some instances, we hear obviously this areas of pent up demand or areas of reinvestment that are higher on the totem pole for hospitals. So just anything you could add on capital budgets would be helpful. Thanks again and stay safe.
Scott Drake: Yes, thank you Anthony. So I would share with you that the umbrella under which these comments reside is again, our preparation for an enduring capital constrained environment. But that said, we were very pleased to achieve two orders after our March earnings call, we are having and obviously in that period of time, the pandemic had taken its grip on all of us and our customers in a significant way. We are having very productive conversations with customers in the midst of this crisis. I would point to an example just a few days ago where we had, I think it was over 30 clinicians from a multisite world renowned cancer center. And we’re kind of moving the ball forward with our customers, primarily via Webex and Zoom and other such things as everybody is doing now. We’re also the – the other thing that could help out Anthony, we’re working with AdvaMed and MDMA pretty closely on what might come for the 4.0 stimulus package. We hope that there’s going to be something for our customers to relieve a capital constraint and certainly hope that since 80% or more of MedTech operates at a loss, that there’s some kind of benefit to us. We’re not counting on that. But that is work that we’re doing. And the other thing that we’re picking up a bit on his dialogue with customers about alternative MRIdian acquisition models that might become more attractive as capital budgets get squeeze for some period of time. So the final comment that I would make and I referenced it in Jason’s question earlier, our customers are sharing that COVID is changing how they’re treating patients and high dose SBRT is on the rise. It’s an extraordinary benefit to be able to deliver treatments as Dr. Nagar said, with an eightfold decrease in the contact between the patient and the caregiver and the patient and the healthcare system and that’s what he’s delivering. And you put that hand in glove with the economic benefits that can be accrued in our system. And there’s certainly hope, but again, amidst that hope and hard work, we are planning for a prolonged environment, where capital budgets are constrained. So hopefully that gives you a little bit of context.
Anthony Petrone: Well, that’s helpful. Thanks again.
Scott Drake: Thank you.
Operator: Thank you. Our next question is from Andrew DeSilva with B. Riley.
Andrew DeSilva: Good afternoon. I’m glad to hear everyone sounds healthy. Just a couple of quick questions for me. So as is relates to CMS, they recently started to ease up restrictions at least as its related to non-emergent treatments. I was curious one if any anecdotal thoughts on if you would expect to see more treatments utilizing MRIdian post that announcement? And is there any way despite looking at that that it’s possible for it to benefit your installs? Or is that more of a maybe a Phase 2 part of the reopening that that could be more impactful for you?
Scott Drake: Yes. Andy, I would say that in the majority of instances, our customers are doing their very best to continue treating cancer patients. It’s a critical part of our – of what our customers do and very obviously high on the list in terms of the patients that they have to treat. Now there are some instances, especially in coronavirus hotspots or COVID-19 hotspots where they’re prioritizing the treatment of those patients over their regular operations. But I think in the majority of instances, you see treatments continuing on. And in our case, in the case of MRIdian centers, the heightened views frequently of our systems, again, diverting surgery patients to us and really looking to do more treatments on our system, because of how we can decrease the contact with the healthcare system. So there is good news within the bad from that perspective. We have had anecdotes, I would stress anecdotes in terms of what things might be like on the other side of this. But I would tell you, I believe from a relatively broad swath of our customers that the March toward high dose SBRT is very much in play. And if anything, I think this pandemic may speed that along. And I think we’re quite well positioned within that. As we shared on our previous call, we think we’re very well positioned to deliver an ablative dose 75 to 100 Gray BED10 in both very hard to treat cancer types. But we also see the benefits as Dr. Nagar and GenesisCare pointing out in prostate patients getting five fraction prostate treatment. So I believe we’re pretty well positioned here for the longer-term in terms of where the treatment paradigm is going. But again, I would stress that we’re preparing for a capital constraint environment for some period of time.
Andrew DeSilva: Yes, understand. That makes sense. Kind of in a similar vein as it relates to SBRT, has there been any update as relates to the ATM? And where was it from the standpoint of the OMB reviewing it? Obviously I met world has changed dramatically, but any incremental data from when you talk about the last quarter will be useful.
Scott Drake: Yes. Our most contemporary understanding is that we’ll see something here in 2020 and an implementation date early in calendar 2021. That’s the best information that we have at this time.
Andrew DeSilva: Okay, okay. And then just two more quick questions for me, as it relates to your partners or distribution network that you used for international installs, are you seeing any challenges there right now from effectively partners going out of business or potentially defaulting or anything like that? I’m just curious if there could be any longer-term challenges that, that, that you’re aware of right now.
Scott Drake: We haven’t seen anything that dramatic, Andy, at this point. We have our teammates doing what I consider to be Herculean, even heroic work by enduring 14-day quarantines and those kinds of things. And our distributors likewise are doing everything that they can to support the MRIdian programs in their various geographies. So we haven’t seen anything that dramatic at this point, but we’ll certainly keep you apprised as we go forward.
Andrew DeSilva: Great, thank you. And last one for me, just as it relates to cost of goods. You mentioned the $7 million charged from last year. Were there any one time charges in the first quarter of 2020 numbers or is that a fairly clean representation?
Scott Drake: Hey Brian Knaley, can I ask you to answer that one please?
Brian Knaley: Sure. Andy, there are no onetime items in Q1 of 2020.
Andrew DeSilva: Okay, okay, perfect. Hey, thank you very much. Best of luck, and everybody stay safe and healthy.
Scott Drake: You too, Andy. Thank you.
Operator: Thank you. Our next question comes from Marie Thibault with BTIG. Please go ahead.
Marie Thibault: Thank you. Good afternoon. I appreciate the detailed commentary on your status update on Q2 so far. I think for Q2, you mentioned you’ve completed an install where the revenue was recognized in a prior quarter. Considering there’s two months left in the second quarter. And kind of a level of detail you’ve been able to provide so far given the pandemic. From your viewpoint today, does it seem like any of the near-term planned installs that are in later stages complete in the next two months?
Scott Drake: Marie, I would say we want to probably stop short of any kind of prediction there in – even in the quarter. I wouldn’t want to give you an answer and then something happened that we can’t rely on. We’re trying to give you our very best contemporary point of view that’s happening including the install that we recently completed, and also an update albeit very early in the quarter on orders. But I think it’s very prudent for us to stop guiding at this point, given the uncertainty in various areas. I would reinforce that our programs are moving forward. I’m gratified by the work that our team and distribution partners are doing. But things are changing so rapidly. I think it would be a bit foolish for me to project too much on that front.
Marie Thibault: Sure, absolutely understand. You mentioned the Asia installation experience and that early signs there that the installation environment might be opening up. I realize it’s obviously a different market in funnel, but what have you seen in the last couple of weeks as things have improved in terms of ordering and the capital equipment environment over in Asia?
Scott Drake: Yes, I would say from an orders perspective really the commentary that I shared a moment ago probably stands. I think the international order book generally speaking has been more productive here lately than what we have going on in the U.S. and I – and some of that indeed is in Asia. I think it’s a little bit earlier – early for us to read too much into that, because that, that broader call that I referenced with over 30 clinicians on it was in the U.S. market. So we kind of reflect the overall industry being two-thirds or so international one-third U.S. We tilt from quarter-to-quarter a little bit more one way or the other. But I think generally speaking, we’re seeing reasonable conversations both in international markets and in the U.S., but again I think the message that we’re trying to deliver here is we’re moving things forward commercially as best we can, but we are bracing for an extended period of time that, that we may not have the order book that we would all like us to have. And we think that’s a very important message for investors to hear.
Marie Thibault: Okay. Thank you.
Shar Matin: Marie, this is Shar. Just to add to what Scott mentioned. I think although the conversations are being had in Asia, there are still limitations as we talk to our distribution partners for them to get access directly in the hospitals. So they’ve got to have meetings outside of the hospitals. So I think business is coming back slowly, but there is still a lot of controls, maybe not to the same level as in the U.S. right now, but there’s still constraints there.
Marie Thibault: Okay. Thank you so much.
Operator: Thank you. Our next question is from Suraj Kalia with Oppenheimer.
Unidentified Analyst: Good afternoon. Thanks for taking my question. This is Mike on for Suraj. Hope everyone is doing well. On the four unit orders, which geographies did those come from if you can say.
Scott Drake: Shar, do you have a breakdown of that just broadly speaking.
Shar Matin: Yes, I’d say it’s essentially 50/50 U.S. international. I think that’s the best way to characterize it right now.
Unidentified Analyst: Okay, fair enough. Thanks. And then also, could you share an updated total number of patients treated so far? Last call, I believe it was over 8,000 patients on 34 systems.
Scott Drake: Yes, we’re going to have an update for you on our next call, given that the previous call was so recent and the world kind of got turned upside down. I don’t want to speculate on number there. I would tell you that I’m very pleased with the utilization of our system. I referenced the customer. I believe on the previous call that this is a brand new install. And they’re on pace to treat 300 patients in their first year of having a MRIdian system. As an update to that, they are actually modeling something higher than that. Very pleased with the pro forma that they have and obviously the clinical benefit. And what’s interesting there is they’re planning on a 100% SBRT on the MRIdian system, very difficult to treat cancers along with a lot of prostates and it’s actually making their conventional Linac more productive. So those are the kinds of things that we’re seeing that are really motivating us to drive the improvements clinically from a product perspective and reimbursement. It seems like things are going quite well from a utilization standpoint with our customers.
Unidentified Analyst: That’s great to hear. Thanks so much, Scott.
Scott Drake: Thank you.
Operator: Thank you. And sir, I’m not showing any further questions.
Scott Drake: Okay, fantastic. Thank you, operator, and thanks, everybody, for joining our call here. We look forward to another update next quarter, and I hope you and your families all stay safe and healthy. Thanks so much.
Operator: And with that, ladies and gentlemen, we conclude our program. You may now disconnect. Have a good evening.